Operator: Good afternoon, and welcome to the MGM Resorts International Second Quarter 2020 Earnings Conference Call. Joining the call from the company today are Bill Hornbuckle, Chief Executive Officer and President; Corey Sanders, Treasurer and Chief Financial Officer; Hubert Wang, President of Hospitality and CFO of MGM China Holdings Limited; and Jim Freeman, SVP of Capital Markets & Strategy. Participants are in a listen-only mode. After the company’s remarks, there will be a question-and-answer session. In fairness to all participants, please limit yourself to one question and one follow-up. Please also note this conference is being recorded. Now, I would like to turn the conference over to Jim Freeman. Sir?
Jim Freeman: Thank you. This call is being broadcast live on the Internet at investors.mgmresorts.com, and we’ve also furnished our press release on Form 8-K to the SEC. On this call, we will make forward-looking statements under the Safe Harbor provisions of the federal securities laws. Actual results may differ materially from those contemplated in these statements. Additional information concerning factors that could cause actual results to materially differ from these forward-looking statements is contained in today’s press release in our filings with the SEC. Except as required by law, we undertake no obligation to update these statements as a result of new information or otherwise. During the call, we will also discuss non-GAAP financial measures in talking about our performance. You can find the reconciliations to GAAP financial measures in our press release and investor presentation, which are available on our website. Finally, the presentation is being recorded. I’ll now turn it over to Bill Hornbuckle.
Bill Hornbuckle: Thanks, Jim. Thank you all for joining us today. I hope you and your families are safe and well. On the heels of our announcement yesterday, I am pleased and honored to be addressing you as the CEO and president of MGM Resorts. I'd particularly like to thank Paul Salem, our Chairman and the entire board of directors for placing their confidence in me and in our entire management team. This is a vote for them – for not only them, but also myself. They have stepped up during an incredibly challenging time. Our ability to reopen, remain operational and provide world class experiences is a tribute to our dedicated workforce, and engage in supportive Board of Directors, civic leaders across the nation, and a sincere commitment to health and safety by all of us in MGM Resorts and the broader gaming industry. While we are proud of the role, we play in helping to restore economic stability to the people and communities that depend on us, we know the public health crisis is far from over. Therefore, we continue to evolve our Seven-Point Safety Plan and our overall response to varying infection rates, including mandating masks at all of our domestic properties, and continuing to manage hotel occupancies and facility capacity. We're committed to learning from each new opening and from each new operational challenge we face. We are focused on implementing both our MGM 2020 plan as we – as our revised operating model and remain diligent in effecting and managing costs. We are proactively engaged with local governments, regulators and public health experts acting as an informed and sought-after voice in conversations about public health and safety trends, restrictions and protocols as they continue to change and evolve. And we remain focused on ensuring we maintain a strong balance sheet and an operating strategy designed to maximize cash flow despite these very difficult times. Necessarily, our focus is on operating with diligence and restoring stability in the short-term. But for many of the reasons I just noted, and more detail we'll get into in a moment, I accepted the role of CEO believing our long-term outlook remains positive and that our future is strong. Our strategy remains unchanged with a discipline focused on operations and execution of targeted growth operations. With that, let's talk about the quarter and the state of the business. In the second quarter we opened nine domestic properties and we have subsequently reopened five more. Today we have a total of 14 properties from our 18 if you count radar at the start of the pandemic. Domestic properties that opened in the second quarter generated positive EBITDAR faster than expected and we saw significant growth in our domestic margins driven by optimizing our business to serve higher quality customers given the pent up demand, primarily in our casino market side, leveraging our MGM 2020 plan and operating model work to manage costs and discipline. And we remain selective and keeping lower margin amenities closed. In Las Vegas revenues of reopened properties declined 50% year-over-year, adjusted property EBITDAR declined 44 and our margins increased roughly 450 basis points over the same period. Despite the lack of conventions, shows, concerts and sporting events, we leveraged M life database to drive better than expected demand in quality casino customers. We also had a higher than normal table games hold, which positively impacted our Strip adjusted property EBITDAR by approximately 8 million in the quarter. Transit and wholesale leisure business also performed better than expected as we entered the summer pool season and as expected driving traffic levels are recovering faster than flying. Looking at the regional operations, second quarter revenues at reopened properties declined to 31% year-over-year, and during that period, they were open. Adjusted property EBITDAR was down 14, but margins increased approximately 880 basis points during that same period. Original operations include larger integrated resort properties like those in Las Vegas, which rely on air travel and lodgers like Beau Rivage and Borgata and to drive markets which are naturally performing better. During the period they were open our drive to regional markets grew EBITDAR by 18% with margin improvement by over 1,400 basis points. We have been encouraged by the dedication of our teams to create high quality experiences for our guests that they can enjoy and believe in messaging – that our messaging is resonating well in all of our marketplaces. We are diligently focused on managing costs while continuing to do everything necessary to ensure the health and well-being of our guests and our employees. Through enclosures, we reduced 85% of our operating expenses. And as we reopen, we are managing variable labor to closely match demand. We also identified certain expenses and amenities that we believe we can eliminate as they are not essential to guest satisfaction or demand. And as such, we believe we can reduce our overall domestic operating and corporate costs by approximately $450 million, compared with the 2019 levels. These savings are a combination of one, MGMs 2020 initiatives that were put in place at the end of 2019. And as you heard and remember yielded tangible results in January and February, before the nationwide shutdown, as well new initiatives that were adopted in a post-COVID world as part of our revised operating model. Therefore, we believe when demand returns, we'll be in a much stronger company. In the near term, somebody has cost savings will be partially offset by approximately 100 million of annual health and safety expenses for a period of time. Further, as we mentioned, last quarter, we remain disciplined on capital spend, and have deferred or permanently reduced our domestic CapEx by 50% this year to approximately $200 million. Liquidity is of utmost importance, especially in current times, and we continue to take steps to further bolster our already strong liquidity position. During the second quarter MGM Resorts, MGM, China and MGP collectively raised 2.45 billion in the debt capital markets. As of June 30, MGM had over 8 billion of consolidated liquidity, and 4.8 billion at our domestic operations, excluding MGM China and MGP. Our current stake in MGP is 57%. And in addition to our strong liquidity, we also have the right to have MGP redeem additional 700 million of OP units under our current agreement for cash. And finally, we anticipated about 270 million of monthly cash overflows while our properties were closed, we did a little better than that and in April in May, with their properties beginning to reopen in June, we significantly reduced the cash burn rate, although it remains negative. Turning to our longer-term domestic outlook, all of our Las Vegas properties are open with the exception of Mirage and Park MGM, Nomad and six of the eight regional properties have opened. We just announced that MGM Grand Detroit will open to the public on August 7, with VIP guests coming in a couple of days before and Empire City as you presumably know will be the last to open out of our regional’s. Currently in Las Vegas COVID related headlines continue to have a meaningful impact on booking trends and cancellations. And candidly, our visibility is limited to booking windows that are currently less than a week. We're seeing slower occupancies on the weekdays, and we're offsetting this on the weekends with demand where the demand is far more robust. All of our reopened Las Vegas properties are burning less cash and with the exception of Mandalay Bay our currently EBITDAR are positive. However, we continue to believe that material recovery will be dependent on the return of conventions, entertainment and significant air travel. We continue to see results in July at all of our regional properties – we see strong results in July and all of our regional properties and our drive to properties continue to show EBITDAR growth and margin improvement and our integrated resort properties are simply just now ramping up. We're encouraged by the relative stability and demand that we have seen thus far. The current situation however, is fluid; further openings of our Las Vegas resorts as well as amenities across our domestic properties will continue to be based on expectations for demand and maximizing cash flow while balancing the needs of our guests, our employees, local regulator, and other significant stakeholders. Despite the current challenges, there are two important assurances. First, we absolutely believe the fundamentals of our business industry have not changed and will ultimately recover. And second, our cost saving efforts are yielding, tangible and seeable, results. Taken together, this means we're poised to emerge from a crisis a stronger, more efficient and sustained, sustainable company. Moving on to BetMGM, we're focused on targeting growth opportunities. We're excited to announce that just a few weeks ago, that MGM and GVC have committed to an additional 2 50 million of capital in support of our sports betting vertical BetMGM. This springs our total commitment of capital to 450 million and demonstrates our continued commitment to positioning BetMGM as a leader in sports betting, and iGaming. BetMGM is a business that was created from scratch and is now showing strong momentum. Evidence of this can be seen what we've been able to achieve in New Jersey, where BetMGM has gained market share and significant growth in the iGaming revenues. Driven by this success, BetMGM is now on track to generate over 130 million of net revenues this year. We have secured access in 19 states, are live in seven states and expected to be live in 11 by year end. We also feel that our omni-channel experience is unmatched, and a significant competitive advantage in this space. BetMGM offers a consistent experience through its web, mobile and desktop platforms, as well at all of our US land-based resorts, a clear differentiating factor nobody else can claim. The new BetMGM app officially started to roll out last fall in New Jersey and launched in Las Vegas and Michigan right before the shutdown in March. Equally as important as that we believe BetMGM will allow us to more frequently engage with our guests and drive deeper loyalty to the MGM brand. To that end, BetMGM achieved a major milestone last week. We integrated our M life customer loyalty program with the BetMGM platform. Players will now be able to view their M life Tier status and Tier credits over time and ultimately redeem credits for MGM experience beyond sports betting and iGaming. In addition through our 34 million M life database, we also believe we have the right partners to drive efficient customer acquisition players, professional sports leagues and T partnerships, as well as exclusive deals with Buffalo Wild Wings and Yahoo Sports. In fact, we just launched to Yahoo’s 64 million monthly active users last week. We made a lot of progress, but there's a lot more to be done. And since launching we've begun – we have become convinced that the market opportunity is larger and will develop more rapidly in the US. We believe that we have the assets to be a long-term winner in this space and we are focused on execution to unlock true value. We continue to believe strongly that this is the largest growth opportunity in US gaming. Having covered the US Let's spend a few moments on Macau. While MGM China properties were opened in the second quarter, the Macao market continue to experience significant year-over-year declines driven by border and travel restrictions, driving second quarter market wide GGR down 96% and visitation nearly down a 100. A couple of weeks ago the 14-day mandatory quarantine between Guangdong and Macau was lifted to certain major cities within Guangdong and yesterday, it was extended to the entire province. Today, we heard that Mainland China was resuming the issuance of visas with the exception of tourist visas starting on August 12. These are initial steps in encouraging direction. However, Hong Kong borders remains shut and the IBS and tour visa programs have not yet restarted which we believe is necessary for a meaningful recovery. MGM China's monthly cash outflow are currently about 65 million a month, and 1.5 billion – with 1.5 billion of liquidity they have over 22 months of buffer in the near revenue scenario. We continue to believe that this market can recover quickly once the current restrictions are lifted. And we have an experienced leadership team who is ready when that time comes. Speaking of leadership, we recently announced the departure of Grant Bowie, as CEO of MGM China. Grant was with the company for over 12 years and the industry for longer and he had deep experience and knowledge in the marketplace. While he is no longer involved in the day to day, he's on retainer to help us with key strategic opportunities over the next couple of years. We've had a seamless transition with Joint Presidents both Hubert Wang and Kenneth Feng, taking on new leadership roles last year as COO and CFO respectively in preparation for this development. The MGM China team is in great hands, Pansy as Co-chair and I as Chair will continue to be deeply involved providing additional continuity and strategic leadership. In closing, our long-term outlook remains fundamentally unchanged. And I draw confidence from five key advantages. One, strong MGM 2020 plan implemented even before COVID and our revised operating model work has created 450 million in permanent cost savings to our business. Meaning, when we recover from this crisis, we will be a stronger company. Two, our proven ability to learn quickly and adapt swiftly. Our skill is sophisticated and experienced operators has been affirmed by this crisis. Three, the high quality of our assets in our market leadership across the US where we have a significant presence. Four and maybe most notably our people, who despite extraordinary stress and hardship, have shown up to deliver safe, welcoming and entertaining experience for our guests and finally, an amazingly strong balance sheet that will help us weather the storm. Furthermore, while we are currently focused on day to day operations, we continue to make progress in our key growth opportunities, developing BetMGM as a leader in US sports betting and iGaming, expanding our footprint in Macau and our relicensure and developing a world class integrated resort in Osaka with our partner Orix, which we remain excited about and committed to. For these reasons and many more, I was proud to lead MGM resorts through this period of uncertainty towards a more promising future. With that, we'll be happy to take your questions. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from Joe Greff with JP Morgan. Please go ahead.
Joe Greff: Good afternoon, everybody. Bill, Congratulations.
Bill Hornbuckle: Thank you, Joe.
Joe Greff: And unsurprising.
Bill Hornbuckle: Thank you.
Joe Greff: Hopeful and surprising, maybe. Is that my first question, my follow up questions relate to Las Vegas. I'm estimating that the reopened Las Vegas Strip properties in June generated about 50 million of EBITDAR, with margins of about 33%. Are these five properties ramping run rate EBITDAR higher or lower in July and have the three newly reopened properties, have they had any kind of cannibalized impact and are they generating positive EBITDAR? I heard your comment about Mandalay Bay and then I have a follow up.
Bill Hornbuckle: Yeah, let me start it off and then obviously Corey can pick up with some limited detail. Look Joe, obviously there was a great deal of pent up demand leading into June. And so we saw it. And then I think you all saw and heard, clearly the national news that impacted the Southwest and Las Vegas. And so we were off to a strong start. Our casino segment responded well, about a third of our market mix was casino. There was pent up demand there. And so we got off to a really good start clearly here in Las Vegas and regionally as well, at least on those properties we've had open. July stabilized for lack of a better word. We have not seen nor would we have opened because we took into consideration as we opened each property, what the cannibalization would be and so we believed as we opened each property that we'd be net benefit cash, we get more people back to work and then ultimately in the long run that would serve us well. Corey, I don’t know if you want to answer any of the specifics.
Corey Sanders: No, just going into a little bit in July, jail as a reminder, we held pretty well in June, which would help not only the EBIT and the margin. As Bill mentioned, the color is on the weekdays, reeking out some profit in some places and others were burning less cash and the weekends continued to perform the way that they performed in June. So all in all, I think Las Vegas is challenging. But the trend – and the trends in July are a little bit less than they were in June because of the hold. But I think we're seeing some pretty strong demand in our limited capacity on the weekends.
Joe Greff: Just on the pace or the rate of Strip property reopening, I'll be happy to see them open, but the pace seemed, I don’t know if we hurried is the right word, but at accelerated level that kind of surprised us. Why wasn't there a more measured staggering or spread of property openings? And maybe I'll help you answer that question. What is the difference between keeping the say core Strip property closed and opening it with limited demand in terms of daily OpEx run rate levels?
Bill Hornbuckle: Well, I guess at 40,000 feet sticking to what we said earlier, the only place is not making cash flow positive is Mandalay. So collectively we've made the right decisions. Remembering there are a series of protocols throughout all of our properties regionally, most notably Las Vegas, that tie us to between social distancing, so many people in the gaming position or the gaming table. The pool of note has been a big restrictor in terms of an amenity that people want and frankly not need, but need in the summertime environment – summertime resort. And so we were answering to demand. We're running roughly 30s midweek, 50s weekends and we believe we can overall – and we've proven it to date, continue to make a profit at that. But remembering there's a lot of protocols put on us. If you go into a restaurant it's at 50% capacity at best case, and so it is about – you can only get so much in so far with restrictions we have on us. And, frankly, we thought it was important to keep the brands alive and keep people motivated and excited to come to Las Vegas.
Corey Sanders: And Joe, what I would add is as we approach this because of the way we approached it getting all the cost out of the organization right away, we've been able to staff based on demand and to Bill's point, we are able to burn less cash even at low occupancies on the weekdays. So from an MGM perspective, we think we're increasing our EBITDAR by having these properties open, even though we may not be making a ton of profit on the weekdays.
Joe Greff: That was great. Thank you very much, guys.
Corey Sanders: Thanks, Joe.
Operator: The next question will come from Thomas Allen with Morgan Stanley. Please go ahead.
Thomas Allen: Good afternoon. Just focusing on sports betting and iGaming bet, you highlighted your impressive share in iGaming and our numbers that you've been taking share and sports betting too. I'm curious can you just to talk about some of the initiatives that drove the higher share. I mean, you mentioned you launched M life, but that was relatively recent, but can you just have talked about more of the things you've been doing. Thank you.
Bill Hornbuckle: Look, like any large-scale organizations, we were large scale, GVC just getting the business up and operating with its first hurdle. Then getting it oriented, particularly on the sports side to US customers, US betting behaviors was an education. And then candidly understanding what it was going to take to win the market and win the day was just that more marketing, more dollars more commitment to it. And so we got aggressive and frankly, we're going to continue to be aggressive. We think there's three or four key winners in this space and we intend to be one of them. Hence the reason for the doubling down if you will, with additional investment both from GVC and ourselves. And it's hard to catch up when you're behind in a market like New Jersey. We have viable and significant competitors. But our brands do stand for something and the fact that people can come on, do a loyalty experience and ultimately translate it into a brick and mortar real experience is a key differentiator that I think long-term is going to pay dividends. And so we've simply turned it up and gotten aggressive. And particularly because of COVID iGaming, it's paid off. And we're gaining share in sports. I think we're up, I mean, to count ping pong sports, but we're up to 7%. And we have high hopes for Michigan and some of the other states we've just launched in.
Thomas Allen: Helpful color and then just on the brick and mortar side and maybe specifically around Vegas, what do you see in terms of customers coming back. I would expect you haven't had the properties open that much, but the experiences fundamentally changed for the time being, are you still seeing people come back at the same rate?
Bill Hornbuckle: When you say the same rate. I mean, look, the average customer remember Las Vegas comes like 1.2 times a year, our average M life customer comes in between three and five. So the cycles been too early to tell. We've seen some repeat. But again, remember my comment earlier, the booking cycle is literally five or six days. And so some are motivated by a promotion, particularly the casino marketing, those that are near and dear to their heart and some are motivated by news or not as the case may be. And so frankly, Tom it’s just too early to tell, I think.
Thomas Allen: Got you, thanks you.
Bill Hornbuckle: Thanks Tom.
Operator: Our next question will be from Stephen Grambling with Goldman Sachs. Please go ahead.
Stephen Grambling: Thanks. Two follow ups, first on sports and iGaming, as you look at the growth in New Jersey both before and after COVID. How would you characterize the customer demographic of iGaming and how much is incremental versus your existing brick and mortar customer and does that iGaming customer differ from sports betting customers?
Bill Hornbuckle: I'll take a first shot at that, look, there is clearly some overlap between our customer database and what the iGaming market was. I just told you we just integrated M life. So it wasn't like it was an extensive M life integration. So those were self-defined customers that were motivated by the promotion and the activity case around the market. We can and will do I think a much better job gaining them. There is overlap 20% to 30% I think of iGamers or sports bettors and vice versa, give or take. And so I think you'll see a lot of that convergence as we go forward. And the ability to equally promote and give reward against both activity cases I think, we'll grow that and grow the scale of convergence back and forth. It's only – obviously, we've only had Borgata open a couple of weeks, but I will tell you two weeks ago was our best iGaming week after Borgata opened in our history. I can tell you that as a point.
Stephen Grambling: Great and as a – changing gears as a follow up on Las Vegas, perhaps I missed this. But can you just talk a little bit more about what you're seeing on the group side? And maybe even what would normally be the group percentage at this point of the year in June and July versus as we're looking at 3Q, 4Q?
Bill Hornbuckle: Well, let me give you the macro and then Corey can get into the specifics. Look, we've launched just over two million group room nights, 83% give or take have been in 2020. And as you probably heard, CES, trickled into the first quarter. And so we're losing some activity in the first quarter. Flipside of that and why I am fundamentally solid on our business is that we've only lost two groups of substance beyond the first quarter of next year. And so what groups are saying and what they're doing is they're hanging in as long as they possibly can. Fundamentally they want to come back. They understand this experience, they want and need it. And I think we're ideally positioned given our scale with that like 3.7 million square feet of space here to spread groups out and make it meaningful opportunity for them as they think about coming back. But the short-term, it's going to be challenging. Corey, the numbers.
Corey Sanders: Yeah, in the second quarter and third quarter, this is an area where Las Vegas has done a really good job over the last three years and we were able to get our mix up in the high teens. Pre you know what, three, four years ago that used to be a low high single digit, low double digit occupancy percentage. So the summer is usually not as much on the convention side as we would expect to see in the fourth quarter.
Stephen Grambling: Got it helpful. Best of luck into the back half. Thanks so much.
Operator: And our next question will be from Shaun Kelley of Bank of America. Please go ahead.
Shaun Kelley: Hi, good afternoon, everyone, and congratulations Bill. So I just wanted to ask you about the Vegas margin piece a little bit more. So specifically, it sounds like there was clearly some hold benefit in the quarter, so when we look at the 450 basis points of improvement that you saw, could you help us split out just for the operating piece that was open what maybe the hold impact on that was? And then probably much more importantly, can we just talk a little bit about kind of your thoughts on perhaps when things do normalize and stabilize out probably several years from here is that 450 basis points sustainable for Vegas? Or how much of that do you kind of think sticks when you think through some of the initiatives that you've made the complexing of the property presidents et cetera.
Bill Hornbuckle: So let me take the second one first, and I'll turn the first one back over to Corey. Look, we think the 450 million we talked about earlier in my prepared comments is sustainable and we think it's real. It's a combination of about half of it comes a little less than half carryover from 2020, part of it is the restructuring of the organization that we did during COVID and part of it just other margin increase programs in terms of amenities and things we've consciously made a decision to candidly never go back to and just a keen focus on the broader pieces of our business. So the 450 is sustainable. You may recall we'd spoken about margins that – we're over 30, historically. And so it meaning in terms of how we looked at 2020, initially before this all hit and so I'd like to think we can improve on that with the 450. But I think to your comment, we've got a long way to go before we get back to ‘19 levels. So Corey?
Corey Sanders: Yeah. So yeah, of the 450 we would be up about 100 basis points on hold. Just as a reminder, our biggest impact is on the hotel side and that is very high margin. business that will always impact our hold, but as we look forward in the future, as Bill mentioned, with the 450 of savings in there, that should be equal to the 4.5% of basis points. And put that to where we were in the past and ’19 and I think you'll see margins that are exceeding that we – of what we had even before 2019.
Shaun Kelley: Great, Corey and that sort of builds on the Vegas to follow up, which is really, portion of the 2020 plan was obviously in process throughout 2019. I think some significant run rates had been hit by the third and fourth quarters, if I recall correctly, though, obviously, has changed over the last six months. But so is a portion of the 160 sort of like already in the base, if you will, or is –can we look at that 450 – 450 million I'm speaking to as basically entirely incremental to where we started 2020.
Corey Sanders: It's all incremental, though, the run rate did not include this 160. A lot of these initiatives were implemented in the third or fourth quarter last year, including some of the things we talked about robot bars, cashiering, a lot of the components that we started really seeing the benefits in January and February. As Bill mentioned, the remaining amount, the corporate expense, the flattening of the properties, the operational processes, all that was done – all that work was done really while we were closed and working with our portfolio presidents and our properties and our CLEs, how fast they were able to move and how quickly we're able to identify those areas. We feel really comfortable about the number.
Bill Hornbuckle: And Shaun maybe a little more color, COVID pushed us quickly into the digital world, frankly, fast and we probably would have otherwise gotten there. So today 25% to 30% of our market mix is – our customers are checking in digitally, they never come by the front desk. Their iPhone is basically their room key. And that is before business and corporate America shows up. And so obviously there's a greater – we believe a greater likelihood they'll even use that. That is an experience. It's seamless; you don't have to wait in a line. It's effective. It's working. We're now launching literally this week, the same thing for menus and ordering food, all digitized, you have to make a phone call. And so this is helping us get really efficient and effective in many of the operating things that we've done. And so our basis will improve that 450 we think is very, very real.
Shaun Kelley: Thank you, everyone.
Operator: And the next question comes from Felicia Hendrix with Barclays. Please go ahead.
Felicia Hendrix: Hi, thank you so much. I will add to the list of folks who are congratulating you Bill.
Bill Hornbuckle: Thank you, Felicia.
Felicia Hendrix: Sure. So looking at the 450 basis point improvement that you saw on the Strip and then AED on the regional, Corey just wondering, is that a good metric to use as we're trying to figure out what your monthly OpEx is today in both of those areas?
Corey Sanders: I think, to look at it from that there's so many variables, and obviously, the high quality of customers, the pent-up demand, the revenue side, I think is something obviously we can't control as much as the cost. We're really comfortable where our labor components are. We have brought back less than 50% of our employees based on what we're allowed to do. And I'm not sure we'll see a change in that anytime in the near future. So just as a reminder, and Bill said this in his opening remarks, we took out 85% of our costs, we're running about 20 million a day in payroll or in total cost where actually when we were closed, we're running about 3 million a day. Payroll is our biggest expense been under 50% I think you guys could probably do some work there and get to a number.
Felicia Hendrix: Okay. Thank you. And then just, Hubert, get you going here.
Hubert Wang: Hi, Felicia.
Felicia Hendrix: How are you? So there was an announcement today that China confronted that the visas were going to be issued to Guangdong residents for business travel and families, not tourists. So just wondering how you're viewing that announcement? And do you think it's a good leading indicator for the IVS? And also, is it fair to assume that people who have a business visa will be – could be visiting the casinos?
Hubert Wang: Yeah, so let's go back a little bit just to see what has happened since mid of July this year. So first of all in July, [indiscernible] province quarantine was lifted for these cities. And then 29, yes, the quarantine was lifted for entire Guangdong Province. And the news came out also that non-tourist visa will – are to be issued on August 12. So you can see a pattern that every two weeks there are some new develop and loosening of the border restrictions. These are magic steps, I believe towards IVS resumption in the end, and that we believe that this will happen sometime in mid-September, or could be even a little bit earlier if you go by the two-week intervals, maybe starting with Guangdong Province. So in terms of business impact, those people with business visa before COVID-19 or when they obtain the business visa, yes, they will be able to travel to Macau. And when they return, they won't be subject to quarantine. This will be helpful to our business.
Felicia Hendrix: Okay, that's a very helpful overview. Appreciate it.
Operator: The next question will come from Carlo Santarelli with Deutsche Bank. Please go ahead.
Carlo Santarelli: Hey, guys, thank you and Bill congratulations.
Bill Hornbuckle: Thanks Carlo.
Carlo Santarelli: Just a quick housekeeping one and I'm not sure Corey if you have this information, but for your Las Vegas operations, could you quantify what the negative EBITDAR was for the period of April and May prior to the opening?
Corey Sanders: You know what Carlo we'll come back to you on it. Give Cathy and Jim a call, I think we'll be able to get to those numbers.
Carlo Santarelli: Got it, thank you. I'll do that and just holistically with respect to kind of the invited guests and things like that that you started with and then kind of opening to a broader subset. If you guys could kind of just talk about what you're seeing kind of post that really opening period that you kind of focused on your better M life customers and what you're seeing maybe more recently is as we moved into July or four weeks from specific property opening and whether or not there's a meaningful bifurcation of the trend that you're seeing in the regional assets versus your Las Vegas assets.
Corey Sanders: So let me kick it off Carlo, so the regional assets remain strong. The biggest restrictor and I use National Harbor as the example, where we're doing exceptionally well since opening is the number of gaming positions, it’s – the restrictions around what the government is placed on us in terms of gaming positions, things that you can do, et cetera, number of units that are actually open on the floor, the RevPARs, if you will, and more applicable I think here in Las Vegas are up like 25%. Back to the regionals, it remained strong and consistent, particularly in places like Tunica, Ohio, National Harbor where there's real drive in places like the Beau and Atlantic City is too early to tell. And Atlantic City has very difficult restrictions where you have to literally eat outside. And by the way, the first three days, we were open to rain, so that was a pleasurable experience. But even at the Beau, we're just now getting back into our summer air program. You know, air is critical to feed that market in that property. But the pure driving properties are doing exceptionally well here. It's been consistent. Yes, the tampering a couple weeks ago of news around increasing COVID cases, and the whole Southwest going red, if you will, every time you turned on CNN has been a challenge, but not really in that segment. And so it's more about leisure, it's more about leisure coming and goings and again, like I said it’s a short-term window even for casino customers, but we've seen a lot of high-end action. I mean, you heard the number for even for June. And we continue to see that mostly through the weekends.
Carlo Santarelli: Understood. Thank you very much, guys.
Corey Sanders: Thanks Carlo.
Operator: Our next question is from Chad Beynon with Macquarie. Please go ahead.
Chad Beynon: Thanks for taking my question and congratulations, Bill.
Bill Hornbuckle: Thank you.
Chad Beynon: Speaking on Las Vegas, you touched on the convention market in 2020 actually holding in quite strong or 2021 on there. Yeah. So how should we think about the entertainment, the residencies or those types of events, how quickly can these be reprogrammed once we get a vaccine and airlift is sufficient? Thanks.
Bill Hornbuckle: Yeah. Well, once we get to an environment where we can fill a better part of 50% of those venues, and that's really up to the government more than anything. We have an opportunity. And so using O as the most significant example, we've been looking at how long would it take to gear it up and it's between three and four weeks. The great news is, the vast majority of those performers still reside in Southern Nevada. They've not left the community because candidly, there's not a lot of places for them to cope in this world. And so everyone’s hanging in there waiting, obviously, in Cirque’s case, they're going through a bankruptcy. But in every case, everyone we've talked to who are – that we're seeking to control that company recognizing and understand that Las Vegas is basically the foundation of that company. And so we have high hopes for Cirque. Frankly, some of our smaller shows are easier. The comedians could be back in a week or so. And then some of the larger events, of course, whether it's sporting, T-Mobile, et cetera. You can't necessarily do it on 50%. And so we're going to have to wait, I think, unless the artists themselves are prepared to do different economics and to date, they have not. I think you're going to have to wait to see a full recovery for T-Mobile to host 20,000 for pick your favorite artists.
Chad Beynon: Thank you. And then on I guess, medium term regional gaming margin expectations, a lot of your competitors are massively reducing labor and marketing starting from a fresh sheet of paper. I think you guys were right around 27%, 28% pre-COVID. Do you have an updated view on kind of where this could go if revenues are close to normal, just a different level of expense expectations?
Corey Sanders: Yeah, I think – this is Corey, obviously, we have observed the same type of trends and we would expect some of these costs not to come back and they are part of the numbers that we have given you as the cost savings. I think the bigger – the cost structure I think is pretty predictable. I think it's the revenue structure and the top line on how strong that could remain given the CARES Act is going to – the unemployment is actually going to go away. I think you had a pent-up demand where some of your players who used to come weekly had a big wallet. And so to see how that fulfills and how long that lasts, that's going to be the important thing to determine what the margins are going to be at those properties.
Chad Beynon: Thank you.
Operator: Next question is from John Decree with Union Gaming.
John Decree: Hi, everyone and I’ll join in, congratulations, Bill.
Bill Hornbuckle: Thank you, John.
John Decree: I'm glad to may be Bill get your – a little bit more update, if any on Japan, kind of near term, medium term milestones, obviously a lot has gotten brushed to the side a little bit as we all deal with the pandemic, but wondering if you could give us a little bit more information on kind of what you're looking for over the next couple of months as it relates to moving forward in a Osaka.
Bill Hornbuckle: Sure. I think as everybody knows on the phone, we have a really great partnership we formed after a lot of hard work for many years with Orix. At the end of the day, we'll have between a 40% and 45% stake in that operation. So it's relative to the overall investment and the risk reward, if you will. We see over the next couple of months – we were prepared by end of July which was the latest deadline to submit an RFP. That process has been stopped. We don't have an extension date yet, but we do believe that it will be delayed presumably to the first part of next year, but officially we don't know that yet. But that's the presumption. We are ready to submit either way. As you know, there's a great deal of things to be worked out there and we’ll only make this investment if we think it's going to be prudent, if we think it's going to pay the kind of returns that it needs to pay and to meet our expectation, so there's a long way to go. We love where we're sitting. We love the opportunity in Osaka, we love our partner in Orix, we like that we're not fully all in on this investment. And we like the up – we like the fact that there's probably going to be a delay and the reopening of some of the conversations that will hopefully make this a better investment for anybody interested in it, most notably us.
John Decree: Thanks Bill, that's helpful and if I could bring one back to Las Vegas, maybe a little bit abstract, but I'll take a shot at it and when you talk Corey to group and meeting planners and they look ahead, you've indicated that particularly outside of 1Q of next year, demand is holding up and attrition has been eliminated. What do they need to see – what are they telling you level of comfort, I mean, what are they looking for to get going again? And maybe the direct question is beyond cancellations, are you still seeing people book long route a year, two years out for larger events. Has that business kind of continue to go? Or I mean, planners kind of really looking forward to get back to, I guess what are they telling you kind of what are they thinking about as they think about planning the next couple of meetings ahead? Is there kind of any insight you could offer into kind of the customer behavior on the event planning side would be helpful.
Bill Hornbuckle: But yeah, I could tell you this definitively, over half of the groups have rebooked for future dates. So of the two main room nights I mentioned, and many of them have asked to rebook and so the ultimate desire to want to come back is in fact in play, whether it's an extension in 24, whether it's let's go earlier next year versus later this year, and so there's an appetite to do that. They have become very comfortable generally speaking with the safety protocols that Las Vegas has put in place. Our team has extensively been involved with national organizations around with meeting planners, MPI and others around what's required, what's needed, what's necessary, what are people thinking about, what the company is thinking about, to make sure the experience is safe. So obviously, a lot of it has to do with just the incidence of COVID cases, getting that back under control, opening up the airline inventory and not as much about will it be ultimately safe when I get there in the environment that we've created. I think we've managed to convince customers that once you get here it will be. It's frankly, our ability to get them here and our ability to host them at scale. Right now, we're restricted to no more than 50 people. But again, it's – I think the predominant reason I have long term fundamental belief, we're going to be fine. That group which is really the only window we have into the future, if you think about it has been very promising and very deliberate about wanting to stay engaged. Anybody who sells products, most notably, and it happens often in Las Vegas, whether it's CES or corporate America that comes here. We got to get in front of people to sell product. And so if you think about the tech companies we host, you think about the trade shows that come to Las Vegas and our company at Mandalay. It's all – not all, a vast majority of is about sales and selling something. And so you've got to do that one-on-one. And so they're anxious to return to that to grow their own revenues.
Corey Sanders: The other thing I'd add John, look, I think it's individually these groups are trying to figure out how to do this on just this week you heard CES cancelled, but on the same day CEMA who's supposed to be in here in November, is saying they want to be here. They are hoping to be here and it will all be about the COVID test numbers. So I think, not that we think it's going to be great over the next few quarters. There are opportunities where you'll see some groups meeting. We have to add our first group, although be it small at Luxor today on, but I think people are dying to get back in meeting, but they want to do it in a safe and in the right environment.
Bill Hornbuckle: And just to set the stage, I mean, look we think the first half of the year is going to be hampered. Obviously the first quarter is, then you run into summer, so it's going to take probably a full year from now before we get back into real mode. And then group business takes a time – if it hadn't pre booked it takes time to rebook. So we don't – we're optimistic, but we want to be realistic with you all.
John Decree: Bill and Corey thanks. I think I didn’t articulate my question that well, but you certainly answered it. Thank you.
Bill Hornbuckle: Thank you.
Operator: Next question is from Barry Jonas with SunTrust.
Barry Jonas: Hey, first off congrats, Bill. I guess I'd start with you in your new permanent role. Are there any new maybe longer term philosophical or strategic changes you'd evaluate, maybe it could be the composition of the property portfolio or anything else worth highlighting.
Bill Hornbuckle: I’ll tell you some of the operating principles and sum up how we're thinking about both short, mid and longer term. First and foremost, it's ensuring that we're extremely disciplined. We got a little less than, frankly, at times, we saw ourselves and things that maybe didn't matter as much the ultimate bottom line, which took time, energy and manpower. And so being disciplined is incredibly important. Being laser focused on our expenses. We have heard you loud and clear, although I haven't been on this speaker as much sat in this room for the last couple years and heard you loud and clear on margins. And so being laser focused on that and being transparent about where we are. I think those are some operating disciplines that hopefully we can deliver to all of you. In terms of longer term you heard us say it, sports betting is a push now, it's not even midterm. We're in a board call today for several hours about where we go on what do we do and how we’re investing, how aggressive are we going to be and where are we going to do it? And what's the governmental affairs and push, if you will, to open up additional marketplaces where we see optimism in the long-term – the short and the long-term actually. And then my other bigger push and my other bigger thing and that's why I'm so focused on Japan and ultimately, Macau, its growth and its relicensing is to put this company in a place where it's extremely well balanced, where half of our revenues give or take are coming from Asia, where 30%, 35% are coming from Las Vegas in the balance or regional where irrespective of what's happening in the world, we probably have and hopefully have the most balanced portfolio there is. We're not really in the M&A mode right now. We're still asset light. We believe in that original strategy. The world has changed. Of course we will look at that and all things that are tied to that over the long – over the next and pending year, give or take. But I think longer term Asia is a big push. Now, it's about sports betting. And really the key thing for us to do is to not only survive this year, but to learn from it and to structure an organization that's really prepared to take advantage of what it's created over so many years of hard work.
Barry Jonas: Great, that's really helpful and then maybe just diving deeper into the margin. Is it possible to give some examples of those lower value amenities that might not come back? I know non-gaming is such a big part of your business, so – and competitors have talked about stuff like buffet, but I guess that's more in the regional markets where the mix is different. So any examples I think might be helpful.
Corey Sanders: Well, look, I think buffets not only in the regions, but I think in Las Vegas, does every property have to have a buffet? Does every property have to have full room service? I think we will look to see do we have too many slot machines? Are the floors too big based on the fact that they were built a long time ago? There's a lot of opportunities in all these areas that we think now's the time to really zone in on it, now's the time to experiment and try things. So the risk of failing is more than outweighed by the benefits of what we could learn. And we look for some more opportunities that hopefully we'll be able to talk to you about in the future quarters.
Barry Jonas: Great, thank you so much.
Operator: The next question will come from Robin Farley with UBS. Please go ahead.
Robin Farley: Great, thanks. I know that you talked a bit about group already, but can you talk a little bit about – you said limited cancellations after Q1, does that mean Q1 group is itself mostly cancelled? And then second question is with a lot of your properties open for going on two months, when do you expect that 50-person limit might be revisited? Thanks.
Bill Hornbuckle: Well, let me work backwards. The governor has gone from a three-phase approach, where we were opened in the second phase meaning here in Nevada, not the regionals. The third phase was going to be the lift among many things, the 50 cap for gathering. He's now broken that down and he's going to take it day by day, you've probably heard. If you go back a couple weeks ago, we're in the high teens to 20% testing ratio of COVID to positive cases. That number has come down dramatically over the last 10 days, thankfully, and so now we're down at an average down to about 35%, seven-day positivity rate of about 8.5%. He will look closely at that. He'll look closely at frankly, deaths. And more importantly, he'll look at ICU beds and what's going on in the hospitals. And the good news in both those cases they've been relatively stable, because it's got to make sure the environment here is capable of handling what comes its way in terms of COVID and people who need ventilators, et cetera. That's what's on his mind. He put it off until September, so you won't – I don't think he'll say anything in August in terms of gatherings, it’s my general view. And frankly, I had the opportunity to talk to him often, he's very transparent. And I think post that we’ll begin to hopefully get somewhere. We had originally talked about 50% or up to 750 people is the next step. If we can get our prevalence rate back down to single – low single digits, maybe we can get back on that conversation. But interim, I think we're six weeks, four to six weeks away from a real conversation there and with some real success, if you will, and driving down these rates. So that's the I think the immediate thinking here. As it relates to the first quarter. The cancellations have begun to seep into there for sure. Again, the benchmark is now CES, which will be a meaningful miss. And every week that goes by a meeting planner has to ask themselves, is the time, energy and money I'm going to spend in advance of something that may or may not happen worth it? Not that do I want to go or not. And so to the extent we can get some rulings in next four or six weeks, it'll help slow that conversation. And right now we're in the middle of that quarter. If it goes on another month, it may go to the end of that quarter. And so the story goes.
Robin Farley: Okay, great. Thanks very much. Thanks.
Unidentified Company Representative: We'll take the last question.
Operator: Sure. That question will be from David Katz with Jeffries. Please go ahead.
David Katz: Hi, good afternoon, everyone. Congrats, Bill, and very much enjoyed your time – you sharing your time and attention.
Bill Hornbuckle: Thank you.
David Katz: I look forward to it continuing. I just wanted to – you’ve given out quite a bit of information. I just wanted to hear you contemplate the notion of certain properties that may remain closed. Could we be in a situation where the portfolio is partially opened for an extended period of time. And how have you thought about the range of contingencies that are out there given just how fluid this whole situation has been.
Bill Hornbuckle: Look, with any intent, we have no intent of retreading unless, God forbid we run into a problem. So let's start with that basic assumption. After Michigan opens in on the 5 or 7 for public it will be down to Empire. And I think you guys particularly most of you know, the New York story better than I. So the Governor's very cautious, but I have to think and believe post Labor Day we’ll have a very earnest if not before conversation around that. Obviously, that's a huge taxpayer, given the way that's structured for the state and we all know understand the state coffers in this challenging environment. As it relates to Las Vegas remembering we're down two Mirage is important to us. It's an amazing brand. Holyshmoly, I opened it back in 1989, God forbid. But the reality is particularly midweek unless we see an increase in demand. I'm not worried about Labor Day because the numbers you’re looking at fit quite well for there because as of today, we're taking reservations. Well, we were taking reservations through August. We've moved it now to August 27 and that's Park MGM, Nomad and Mirage. We'll see in a couple weeks that we feel about that again. We know Labor Day will be fine, but I do want to understand how people are thinking about school, no school, is a summer travel going to extend itself into September. By the way, September is probably the prettiest month of the year here particularly for the pool and resort experience. So if kids aren't back in school, it would just be an extended summer. We just don't know yet. And so it's not our intent though to keep them closed forever. Obviously, Park MGM was a building brand and a new brand. We might take a look at Nomad first and then maybe the bounce of the property, but we just don't know. But I can't imagine and it could be, so I’ll be careful what I say here. An environment where they're close for the balance of the year that I will say, and hopefully we can get there sooner.
Corey Sanders: And I think a lot of it is going to be based on COVID numbers because the bookings we're seeing in Las Vegas, the gross bookings are fairly consistent, they've been pretty decent. It's when we see the demand start suffering is when COVID numbers spike up and we start seeing some cancellations. When those numbers are down, the cancellations are reduced and we start seeing some additional rooms picking up. So if we could keep the COVID numbers down, things start flowing in a positive way and hopefully we could get these properties open. We want to get employees back to work and get the Strip going to where it needs to be going.
David Katz: All right and if I can ask one very short follow up Bill, in response to your thoughtful vision of balancing the company just a bit more, could that potentially include divesting some domestic assets entirely.
Bill Hornbuckle: Look everything's on the table everything off it, there's no discussion around that at this point. We want to get through this immediate crisis. We'll take a broader perspective on what's best for – where we are with liquidity, the balance sheet at that time, where the industry is going or has gone. And so of course, we're not going to rule anything out, but it's certainly not an expectation that we would offer up a property or properties today.
David Katz: Understood. Thank you, very much and good night.
Bill Hornbuckle: Okay, thank you all.
Corey Sanders: Thank you.
Operator: Ladies and gentlemen, this concludes today's question-and-answer session and thus concludes today's call. Thank you for joining MGM Resorts International second quarter 2020 conference call. You may now disconnect your lines.